Operator: Good day, and thank you for standing by. Welcome to Aristocrat Full Year 2025 Results Briefing Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to your first speaker today, Mr. Trevor Croker, Chief Executive Officer and Managing Director of Aristocrat. Thank you. Please go ahead.
Trevor Croker: Good morning, and welcome to Aristocrat's financial results presentation for the full year to 30 September 2025. My name is Trevor Croker, Chief Executive Officer and Managing Director of Aristocrat. Joining me today is Sally Denby, our Chief Financial Officer. Sally will step through the highlights of the results and provide an update on our strategy. Sally will then discuss our group financial results and balance sheet, after which I'll run through the operational performance and outlook. All figures are in reported currency, unless otherwise stated. FY '24 was restated to exclude Plarium at the last result. Please note the usual disclaimer statement on the back of the deck. Turning now to Slide 2. Aristocrat delivered on our second half performance commitments and achieved another strong full year result with double-digit growth across all key metrics. This illustrates the quality of Aristocrat's portfolio and our ability to continually grow through different environments whilst investing for the future. This was a period of positive change at Aristocrat as the business aligned its enterprise portfolio to refreshed priorities while maintaining an approach that has delivered consistent operational performance and superior profit growth over a sustained period. Along with our strategy, we completed the divestiture of Plarium during the year, generating a significant gain on sale and subsequent to year-end, we divested Big Fish Games. From FY '26 onwards, our mobile operations will be focused purely on social casino. Our 3 complementary business segments are now united by a common core of great gaming content and technology with each offering exciting growth prospects. During the year, the group also invested significantly in technology and product strategies while taking foundational steps that will set up Aristocrat Interactive to accelerate performance, and allow us to fully leverage our content, scale and capabilities over the coming years. Group revenues grew 11% over the period, while segment profit grew 12%, benefiting from strong organic growth the inclusion of NeoGames for the full 12 months and FX translation. Aristocrat Gaming delivered strong performance driven by an outstanding second half outright sales across all market segments, with significant share gains in North America and ANZ where our ship share recovered to over 50%. Gaming Operations delivered installed base growth and continued market share gains, with a sequential improvement in fee per day in the second half. Product Madness delivered impressive performance with continued share gains, profit and margin growth, reflecting focused investment in user acquisition, high-performing content and effective execution of our direct-to-consumer strategy. Interactive benefited from double-digit organic growth in content and iLottery, including from the NeoPollard Joint Venture. Group NPATA grew 12% or 9% on a constant currency basis with EPSA growth even stronger at 15% over the year. Looking forward, we continue to see momentum in our business. We expect to deliver NPATA growth over the full year to 30 September 2026 on a constant currency basis. Performance is expected to be phased towards the second half of the year. I'll now turn to our strategy. Slide 4 recaps our approach to delivering superior long-term sustainable profit growth, which we've shared many times. We start by investing and innovating to create the world's greatest gaming portfolios across key markets at scale. We have committed to high levels of D&D investment to support content development and growth with an increasing focus on returns from high-performing products. This includes investment in outstanding creative talent and technology to improve both the speed and efficiency with which we can deploy content across multiple priority markets, cabinets and channels. The establishment of Interactive provides scope for our studios to innovate across channels and expand their distribution opportunities. Aristocrat takes a rigorous proactive approach to growing and defending our intellectual property and ensuring fair competition on a level playing field. The litigation against Light & Wonder continues to progress in both the U.S. and Australia. We are pleased with the U.S. Court's recent decision to extend discovery and require Light & Wonder to provide access to game maps for certain of its hold and spin games. Next, we focus on growing and distributing our leading content aiming to take share wherever we compete including an existing and new adjacent markets. Interactive is now a full solution provider for online RMG with an expanded portfolio across iLottery, content and platforms. We are investing to become a scaled global player in this important adjacency and to position the interactive business to accelerate its growth consistent with our stated target of achieving USD 1 billion of revenue by FY '29. Aristocrat also invests in differentiating enablers. These include long-term customer partnerships and commercialization capabilities and a compliance culture that is underpinned by our commitment to a sustainable and vibrant industry. While our priorities and focus areas evolve over time, our fundamental approach to generating growth remains consistent and continues to deliver strong results with considerable opportunities ahead. Over the 5-year period since 2020, group revenues and segment profits have grown at a CAGR of 9% and 19%, respectively, reflecting share gains and operating leverage across all key segments. NPATA has grown at 27% CAGR. This was underpinned by market share gains in gaming operations installed base from 34% to 43% and steady share gains in North American outright sales from 23% to 31%. This strong financial performance has been delivered through diverse conditions, demonstrating the resilience of the group and reflecting the high proportion of recurring revenues that we generate. Consistent delivery has also allowed us to maintain investment and fully fund our organic growth and invest behind inorganic growth priorities while delivering ongoing returns to shareholders. Over the same 5-year period, we've returned over $4.3 billion of capital to shareholders through dividends and on-market share buybacks. Turning to Slide 6. We continue to advance our sustainability agenda over the year by driving improvements and further lifting maturity across our most important priorities. This slide shares a few highlights. Empowering Safer Play, or ESP, remains our most important sustainability matter, directly supporting our ability to deliver financial results over the long term to benefit our people, our customers and shareholders. Over the course of the financial year, we made significant progress against our 6 medium-term strategic ESP goals, which were initiated and shared publicly in 2024. Other highlights during the reporting period include comprehensive preparations for the mandatory climate reporting and the integration of NeoGames operations into our sustainability program with a focus on safer play standards and processes. Upholding high governance standards and strong compliance with gaming and other regulations also remains a fundamental commitment at Aristocrat. Robust and effective gaming regulation is critical to maintaining strong property and consumer protection standards. This enables the industry to remain vibrant, welcome in the community and able to deliver benefits to all stakeholders over the long term. Full details will be shared in Aristocrat's FY '25 sustainability disclosures, which will be published on the 2nd of December 2025. I'll now hand over to Sally, who will take us through a summary of the group's results.
Sally Denby: Good morning, everyone. I'm starting on Slide 8, our group results summary. As Trevor mentioned, Aristocrat delivered NPATA of $1.6 billion over the year, an increase of 12%. On a fully diluted basis, EPSA increased 15% to $2.47 reflecting solid operational performance and accretion from our share buyback program. Revenue increased 11% to $6.3 billion and 8% in constant currency. Aristocrat Gaming delivered a strong second half with robust outright sales, unit pricing and market share increases in both the U.S. and ANZ. Gaming operations recorded solid growth in the installed base, with a sequential improvement in fee per day in the second half of the year in line with our guidance. Revenue growth was further assisted by continued market share gains in social casino, organic growth in Interactive and the inclusion of NeoGames for the full 12-month period. EBITDA was 16% higher than the PCP, reflecting margin expansion from favorable mix and improved operating leverage. Benefits from effective cost initiatives taken in FY '24 also supported the results. Ongoing cost management continues to provide capacity for strategic reinvestment with well-established discipline across the group. I would like to call out some other items further down the P&L. Firstly, we recorded a $28 million gain on the sale of [ Berkshire ] Integration Center in the U.S. through corporate costs. Legal costs increased by $33 million compared to FY '24, which includes legal costs associated with taking proactive steps to defend Aristocrat's intellectual property, including $21 million in relation to the ongoing litigation against Light & Wonder. Interest income decreased by $34 million compared to the PCP, primarily due to lower average cash balances following the NeoGames acquisition and continued share buybacks over the course of the year. Interest expense for the period includes a one-off item of $9 million relating to a tax matter. Excluding this matter, underlying interest expense was in line with the top end of previous guidance of 6% to 7% of U.S. dollar borrowings. The effective tax rate for the year was 28% compared to 27% in the PCP. As we outlined in May, the increase reflects changes in the regional earnings mix and acquisition-related transitional changes, which are expected to moderate over time. Our approach to significant items is consistent with previous years with M&A-related gains and losses recorded below the NPATA line. Finally, the directors have authorized an unfranked final dividend of $0.49 per share for the half year ended 30th of September 2025, representing a payout ratio of 37.4%. The full year dividend of $0.93 per share represents an increase of 19% over FY '24. Slide 9 provides a snapshot of the drivers of NPATA growth over the reporting period. NPATA was driven by strong organic growth and share gains in both Gaming and Product Madness and the addition of NeoGames and Interactive, further supported by favorable FX. This was partially offset by increased investment in D&D and lower interest income. Turning now to cash flows on Slide 10. Strong cash flow generation was achieved over the period, reflecting continued operating momentum. CapEx was driven by investment to support continued growth in the North America gaming operations installed base, partly offset by the proceeds on the sale of properties previously flagged. Acquisition and divestments reflected the sale of Plarium, offset by some small strategic technology investments. Aristocrat completed its $1.85 billion on-market share buyback program during the first half of the year and announced a new $750 million program running through to March 2026, of which we have executed $584 million to date. In total, $1.4 billion have been returned to shareholders through share buybacks and dividends over the full year, whilst the business has continued to invest for growth. Aristocrat allocates capital to support our long-term growth strategy and deliver shareholder returns. In particular, the business achieves organic growth through consistent, strong and disciplined D&D, UA and CapEx investment, whilst actively pursuing strategic M&A opportunities in a disciplined and consistent manner. Post year-end, we completed the acquisition of Awager, an exciting adjacent opportunity in line with our growth strategy. Aristocrat invested $800 million in D&D during the year to further strengthen our product and technology portfolios and lay the foundations for scaling in online RMG. This represented 12.7% of revenues compared to 13.4% for FY '24. Aristocrat manages its balance sheet through cycles of investment. And during the first half of the year, we deployed a portion of the proceeds from the sale of Plarium to retire debt. We continue to target a leverage ratio of 1 to 2x net debt to EBITDA over the medium term. However, taking into account the consistent levels of cash generation, our leverage will not fall within this range without material M&A. I would now like to focus on our investments to drive organic growth laid out on Slide 12. Total organic investment is generally tracked around 25% to 27% of group revenues with the potential to flex this where required in response to business needs and opportunities. High levels of CapEx in 2024 reflected the exceptional growth of our gaming operations installed base as well as the investment in the commissioning of our Las Vegas integration center in the prior year. This has normalized in the reporting period. UA spend increased to support strong business momentum while also reflecting our continued focus on efficiency and return on marketing spend. Increased D&D largely reflects the inclusion of NeoGames for the full period. Slide 13 provides a more detailed view of D&D. As part of our wider review of D&D expense, interactive operating costs of around AUD 35 million, previously incorrectly included in D&D were reclassified to segment profit during the period. Adjusting for this, second half '25 D&D would have been 13.2% within our 12.5% to 13.5% guidance range. The net impact to the group P&L from this change was neutral. In Interactive, we continue to invest a significant proportion of revenues in iGaming content, Class II mobile and the New Hampshire Lottery. We maintained D&D investment levels in Product Madness with a small step-up in gaming to support content development. As discussed for the past 2 results, the growing proportion of D&D investment relates to enterprise technology managed across the entire portfolio. Additionally, as we have consolidated responsibility for D&D under our group product and technology functions, we are now managing spend at an enterprise level rather than across channels. From the first half of fiscal '26, we will no longer disclose D&D by division. Instead, we will be aligning D&D reporting to the way Aristocrat now manages this important investment in 2 discrete buckets for products and technology. Over the medium term, we continue to expect D&D investment to land within a range of 11% to 12% of revenue as scale benefits are realized. However, our approach to D&D guidance is changing. We will no longer be guiding to D&D as a percentage of revenue, shifting instead to provide a growth expectation, reflecting our evolving business and maturing approach to D&D as we move through investment cycles. We are targeting D&D at mid-single-digit growth next year on a constant currency basis. I'll now hand back to Trevor to step through operational performance.
Trevor Croker: Thanks, Sally. Turning first to the Aristocrat Gaming business on Slide 15. Revenue and profit increased 9% and 7%, respectively, in reported currency, driven by outstanding performance and strong share gains in North American and Australian outright sales in the second half of the year, along with continued share gains in our North American gaming operations business. Innovations in both games and hardware contributed to this success with titles such as Phoenix Link, Spooky Link, House of the Dragon and Buffalo Ultimate Stampede being well received in the U.S., while Thunder Empire and Cashman drove penetration in Australia. In North America, our game performance continues to run at 1.4x floor average, maintaining a healthy gap to our major competitors. The Baron cabinet was welcomed enthusiastically by customers around the globe. Dragon Link continued to perform well in its eighth year with particularly strong demand in Asia under a hybrid commercial model. North American revenues and profits were up 5% and 3%, respectively. Gaming operations revenue growth was driven by a 6% increase in the installed base over the prior year. We achieved sequential improvement of 2% in our market-leading fee per day in the second half, driven by effective portfolio execution and support of GGR growth. We added almost 4,100 units over the year, further extending our market-leading share to around 43%. North American outright sales exhibited clear revenue leadership given the combination of strong average selling price, or ASP, and ship share of around 31%. Outright sales units increased 18% in the second half, driven primarily by the Baron Portrait cabinet, which was released in April. Demand was further supported by the success of games like Spooky Link, which achieved the fastest ramp-up of any outright game sales product in Aristocrat's history and has taken the top 3 spots on Eilers core games leaderboard for the past 3 months. ASP increased by 1% and remains at leading levels overall. Adjacencies increased 29% over the PCP and represented 26% of total unit sales, driven by continued expansion in Georgia COAM, Historical Horse Racing and Quebec VLT markets. North America's margins of 57.8% decreased by 110 basis points, reflecting the mix effect of the exceptionally strong outright sales performance. As we move into FY '26, we don't anticipate a material impact from tariffs. Rest of World revenues and profits increased 11% and 9%, respectively, driven by a strong rebound in both ANZ and Asia. We previously flagged the timing of the highly anticipated release of the Baron Cabinet in ANZ halfway through the year. The Baron scaled quickly with strong customer demand and effective commercialization along with a host of game innovations, including Thunder Empire and Cashman, our ship share in Australia rebounded to 52% in the second half with unit sales more than doubling and ASP increasing by 8%. Rest of World performance, excluding ANZ was also weighted to the second half due to higher opening and expansion activity in Asia with a strong uplift in recurring revenue units. Turning to Product Madness on Slide 16. The business delivered strong performance in a transformational year with refreshed leadership and more effective integration into the enterprise. The benefits of our mobile operations being focused on social casino have been evident this year. Product Madness continued to take share in a contracting market through investment in new content, effective player engagement, live ops and features. Social casino bookings increased 5%, driven by growth in our evergreen franchises, including Lightning Link, Cashman Casino and Heart of Vegas compared to a social slot market decline of 9%. We are confident in our market position and our ability to grow into the future. Segment profit was up an impressive 12%. Margins improved 380 basis points, driven by a continued focus on efficiency, increased off-platform revenues and disciplined UA investment. We continue to drive D2C revenue growth by offering better value to players and actively promoting these through various channels. D2C represented 16% of social casino revenues for the full year, up from 7% in the PCP and was over 18% in the second half. We believe there is more scope to steadily grow D2C over the next few years. Product Madness was an early adopter of AI and automation and in progress in this area accelerated in FY '25 as the business shifted to more dynamic and personalized player experiences. We are using AI effectively to automate solutions to expand live ops development and using generative AI for scaling asset production and quality improvements. Turning to Interactive. The FY '25 results reflected the inclusion of NeoGames for the full period versus 5 months in FY '24. Revenue increased 7% on a pro forma basis, including the iLottery JV. Profits increased with margins improving 260 basis points for the full year. Excluding the previously referenced reclassification, which represents a full year adjustment of USD 23 million, Interactive's FY '25 profit margin would have been around 35%, with higher profit margins in the second half compared to the first half. iLottery delivered strong performance with new contract wins and improving metrics across existing contracts. On a pro forma basis, including our share of the JV, revenue growth was 14%, with strong contributions from North Carolina and Virginia. Content revenues grew 15% on a pro forma basis, reflecting strong growth from our larger aggregation customers and numerous content launches with major operators in the U.S. and Canada. The consolidation of our remote game server technology over the year allowed us to roll out content across more markets simultaneously, including increasingly complex mechanics and features such as progressives and daily free games. iCasino U.S. market share increased from around 2% in March 2025 to 3.5% in September 2025 and benefit from top-performing games such as Mo Mummy Mighty Pyramid and Bao Zhu Zhao Fu. Platforms continued to expand across the U.S. and ANZ markets, supported by installation expansion and software sales. While significant work lies ahead to realize Interactive's full potential, we are making important and encouraging progress and have full confidence in our plans. I'd like to share a few notable call-outs. In iLottery, we were recently awarded the contract for the Massachusetts iLottery, beginning July 2026. And the Michigan iLottery on an exclusive basis also from July 2026. We will be investing behind these great long-term opportunities. In content, we'll be bringing more of our leading land-based content to digital in the coming year including the iconic Lightning Link and expanding our market access through entering the remaining 2 U.S. states with Delaware and Connecticut having recently launched. And in platforms, we'll be rolling out our mobile Class II product with the Chickasaw Nation at the WinStar World Casino later this month. Turning now to outlook on Slide 19. Aristocrat expects to deliver NPATA growth over the full year to 30 September 2026 on a constant currency basis, reflecting continued revenue and market share growth from Aristocrat Gaming supported by resilient underlying GGR growth in key markets. continued market share growth from product managers with an increasing contribution from D2C, accelerating performance at Aristocrat Interactive towards our FY '29, USD 1 billion revenue target through further scaling of content and investing in iLottery to support broader market access in North America and Europe. In summary, the group has delivered a strong result for the financial year 2025 with robust fundamentals, investment and execution driving continued market share gains and operating momentum. Going forward, we remain committed to our capital management strategy and executing our on-market share buyback program. We continue to position Aristocrat from an organizational capability and financial perspective to actively pursue strategic M&A opportunities in a disciplined and consistent manner to accelerate our growth strategy. Today, Aristocrat is proud to have a global team of approximately 7,400 talented individuals. I want to extend my sincere gratitude to each and every one of our employees for their dedication, passion and hard work throughout this period. With that, I'll conclude the formal part of the presentation and hand it back to the moderator to open the floor for questions.
Operator: [Operator Instructions] We will now take our first question from the line of Adrian Lemme from Citi. Adrian?
Adrian Lemme: Orally. I was interested in your view, Trevor, on the gaming -- North American gaming ops market. So I think last year, it grew by 800 units or about 5%, and you took most of it. This year, you've grown by 4,100 units, and you've grown your market share again. So is it that the market has slowed down? And what are your expectations for the next 12 months on the market outlook, please?
Trevor Croker: Yes. Thanks, Adrian. I appreciate the question. As you rightfully said, in '24 the market grew and we drove the majority of that growth. And I'd position the result this year again the same context as the market grew and we drove the majority of market growth. Market share for the top 5 were up about 1 percentage point year-over-year to 42.3% of share. I think what we've seen and what we're seeing now is that -- but certainly, there's been better GGR momentum across the market, so a much more supportive model from a GGR perspective. On a new openings basis, it's about the same -- a new opening expansion is about the same expected in '26 as it was in '25, and we expect to be successful in taking a greater share of those. And then we continue to improve our performance on the floor, both with new games like Phoenix Link, but more recently, Buffalo Mega Stampede which is a succession game to Buffalo Ultimate Stampede, Cash Express Legend, Millioni$er and then ultimately MONOPOLY in the second half of next year. So my view on where the market sits, it's around about the same size. I think Eilers are quoting it's around 15% of the install -- of the total installed base in North America. We feel confident that our expectations into '26 are consistent with what we've said in the past, which is between 4,000 and 5,000 units of incremental opportunity for Aristocrat, and we feel well positioned with the portfolio. We also have a good line of sight on how to manage fee per day, and we feel comfortable that that's a growth opportunity for us in '26.
Operator: We will now take our next question from the line of Justin Barratt from CLSA.
Justin Barratt: Look, I just wanted to get you to comment a little bit more on Product Madness. Clearly, a very strong result. I was particularly interested in your ability to take or drive revenue growth in a declining market. Can you talk about how you're seeing that overall market, your ability to take share? And then obviously, it sounds like, Trevor, you're confident in gaining more penetration in the DTC platform as well.
Trevor Croker: Yes. Thanks, Justin. Look, PM has been a great story for us this year. And I think it goes to the single threadedness of our social casino focus now where we are focused on that portfolio, and that's about monetizing the content that we make in land-based and building good Live Ops and effective UA around that. The PM business has done an excellent job in the year. And I think where they have positioned themselves to be able to take share in a declining market, but also to set the standard around things like Live Ops, new game innovation. NFL was not a big contributor to the year. So it's not in there, and NFL is showing some good early signs. We'll continue to monitor that as we launch. So on a go-forward basis, I think if you look at the evergreen portfolio of apps, they are very robust apps. They've got good content flows and innovation coming out of the gaming content that we make across the group. And then on the DTC, yes, you're right. I think the team has done a great job going from 7% this time last year to 16% this year and 18% in the last quarter is great. And we do believe that both from a regulatory -- a market point of view with the change in some of the operating models with the platforms that we have the ability to continue to expand on that. So I know that the team is very focused on that, and I think that we are in well positioned to improve that percentage and to continue to grow and to take share in Social Casino.
Justin Barratt: Yes, fantastic. Okay. And then I just wanted to follow up on Adrian's question. I guess, the weakness in your net adds or installed, I guess, the net adds number came in the second half. I was just wondering if you could provide any more specific commentary around the second half exactly. And then, I guess, over the last few years, you have absolutely spoken to that sort of 4,000 to 5,000 net adds number, and you've reiterated that again for FY '26. But I guess just given the ongoing penetration of premium leased into the North American market, how long do you think you can maintain that sort of 4,000 to 5,000 net adds for.
Trevor Croker: Yes. So back around -- back to the first part of that question, which was really around a bit of extra depth around the second half. I mean we carried strong installed base from Play Hub for Phoenix Link in the first half, and that continued in the second half. We then built on that with Buffalo Ultimate Stampede, Millioni$er and House of the Dragon. Those were MSP installs in the business. Also, we've got a portfolio of games coming out for the rest of FY '26, including Lightning Link 10-year store, Buffalo Mega Stampede, which has only really just been released in the last month, it's doing 3.9x floor. Spooky Link Grand, which is a gaming operations extension of the Spooky Link franchise, which is doing exceptionally well. Plus, as I said, Phoenix Link momentum and pipeline there and Cash Express Legend plus a couple of other games. So I guess where I see our portfolio is that the market was quite volatile in the first half from a GGR perspective. If that normalized in the second half, we were able to continue to work on our momentum of installs. And also, we talk about net installs. So we were able to refresh some of the underperforming portfolio as well and improve that. As far as going forward, as I said, I think 4 to 5 in '26 -- between 4,000 and 5,000 in '26 is a good number for Aristocrat. There are about the same number of new openings and expansions. Obviously, MONOPOLY is a great opportunity for us in the '26 calendar year, which we're excited by as another incremental add to the portfolio. So I feel comfortable that we will get our rightful share and take share again in gaming operations in FY '26.
Operator: We will now take the next question from the line of Annabel Li from Goldman Sachs.
Annabel Li: Just one on D&D, which you flagged will increase in the mid-single digits next year. Maybe could you talk about where you're prioritizing that incremental investment?
Sally Denby: Annabel, thanks for the question. It's Sally here. I think as we've said before, we are currently in an investment cycle as we continue to scale up the Interactive business and really a heavy focus on the investment in technology, which will enable us to efficiently port content across the 3 distribution channels now. So that remains our focus going forward. And we're increasingly managing the D&D portfolio on an enterprise basis, which goes to the point that we've made today about changing how we think about it with our focus on fundamentally managing the cost base and as we said, managing that year-on-year increase within the mid-single-digit range.
Operator: We will now take our next question from Matt Ryan from Baron Joey.
Matthew Ryan: Just hoping with the participation yield, if you could give us some color on the second half. I think 6 months ago, you talked in quite a lot of detail actually around the mix between sort of coin in promotions, MSP and the different drivers. So just any color you could provide on those types of things and what sort of drove your second half performance? And I guess, leading into that, when you might see that yield start to converge on what overall GGR growth looks like moving forward?
Trevor Croker: Yes. Thanks, Matt. It broke up a few times. I think you're talking about gaming not just fee per day. So a couple of levers in there. So we talked about GGR being an impact in the first half, affecting, as you know, because we've got effectively 2/3 of the portfolio participation. So GGR was relatively not volatile, but unpredictable in the first half. We've seen GGR be more supportive in the second half. So that's been a positive contributor to our fee per day performance. At the same time, we've been -- we've seen more favorable on our performance on our participation games. So things like Buffalo Ultimate Stampede as I mentioned earlier, House of Dragons and Millioni$er and also increased average fee per day on Phoenix Link. So we have taken the promotional aspects and roll those back over the period as well. And we did say at the half that those were some of the contributing factors, but we have taken those into control. And also, we continue to focus on churning the underperforming games out of the portfolio. So we continue -- as we said, we would get sequential improvement. We believe that the portfolio continues to give us the right to expect improvement again into next -- into 2026 and the GGR momentum that we've seen in the early part of the year suggests that at this point in time.
Matthew Ryan: And just for the outright sales, obviously, a very strong period. Just interested in your thoughts on I guess, how much of that was driven by the pent-up demand for the Baron cabinet. I guess, I'm just trying to think about, obviously, moving forward, you've got a lot of pretty solid releases coming out, just your ability to sustain that level of sales growth?
Trevor Croker: Yes. Maybe it's best if we break it down by region. So there was pent-up demand in Australia because we didn't launch it until the second half. And at the half, we were talking about the fact that it was only just launching in Australia as we were talking to you in May. So we've just gone live in New South Wales. We're going live in Queensland, about to go live in Victoria. That said, that Baron cabinet has been well accepted by our Australian cabinet, the customers, but also supported by a strong portfolio of games, which have actually helped support the installed base and see both the cabinet and the games be released and also see the overall game performance of Aristocrat's portfolio improve. As we said, 52% ship share at the end of the half is a very strong result. n North America, we already had Baron Upright in the marketplace, and it was performing well. We then moved to Baron Portrait in April, and we saw an acceleration both from the games like Spooky Link that were on that platform, improve the performance of the platform, but also allow for us to gain greater distribution. I wouldn't have called that pent-up demand because we'd already launched Baron there, and that was really driven by game cycles and new hardware configuration. So strong results there. As far as Baron goes from the rest of the market point of view, it's due for EMEA this year and also into Asia this year being FY '26. And so we see that games coming through on that portfolio into those markets as opportunity. I felt that the gaming -- the full sales numbers for North America and Australia were a real credit to our team. It was the great commercialization, working with our customers, content, hardware and a portfolio of games that we really have a floor average now of about 1.4x. Our nearest competitor is 1 to a 40% premium on our floor performance. And I think that ultimately helps our customers decide where to place their capital and where to -- whose games to place. So think the team did a great job on that basis.
Operator: Our next question comes from Sriharsh from Bank of America.
Sriharsh Singh: Two quick questions from my side. One on ANZ, very strong performance, 52% ship share in second half. Can you talk about the ANZ pipeline and talk about how sustainable this 52% share is? Was there a little bit of a one-off element from the Baron launch at the start of the second half? Or do you think the pipeline should support 50% kind of a ship share in ANZ. The second question I have is on the North America outright sale market. So very strong performance in the second half again. Could you talk a little bit about the opportunity to lift ship share in North America to maybe close to 30% because your ship share or flow share in premium gaming ops is over 40%. So maybe you can narrow the gap there with strong content that is coming online. And lastly, on online content share, 74 new games launched in 2025. When I look at some of the digital-only suppliers, they're launching 250 to 300 games a year, a few of them. Is that the aspiration over the next 1 to 2 years? Or would you follow a slightly different strategy in online slots.
Trevor Croker: Thanks, Sriharsh. Great way to get 3 questions into 2. Well done. I appreciate it. So firstly, from the ANZ perspective, 52% share, as I said just earlier, I think there was an element of pent-up demand from the hardware coming out with the Australian team. But there was also other initiatives like MarsX that the team are working on as well. So those MarsX continued to be released during the year, which was Cash Express luxury line and also the Dragon Link 90,000 jackpots. So continue to see those products being released. So my view is that we haven't finished penetration of Mars in the Australian marketplace, and we've got a portfolio of games, which were released at AGE that were seen to be a highly -- high-performing series of games. Heaven & Earth, which was launched in mid-October is performing very well. It's got strong demand to support that. So we expect to continue to be able to run in that sort of range of share in the Australian marketplace from both a content point of view and also from a hardware point of view. So I feel confident around that. Around the comment around North America, I think you're talking outright sales, was that correct?
Sriharsh Singh: Yes, because the ship share [indiscernible].
Trevor Croker: Yes. We finished the half at about 31.2% -- sorry, finished the year at 31.2%, which is the first time that Aristocrat has shipped more than any manufacturer in North America. So of the top 5 manufacturers, we had the highest shipments of game sales products in North America, and that's the first time we've achieved that. So on a year-over-year basis, we were 5.5% up on the previous year, and the market was actually flat. I do believe that the team again is executing very well there. There's an element of adjacencies in there. But if you look at the core business, strong growth from a gaming operations point of view, and our ASP is largely held as well. So from a wallet share point of view, well over 31% from that perspective. Will we continue to lift it, again, coming back to performance. When you look at Spooky Link to the top 3 games in the outright sales list from an Eilers perspective, great place start and another portfolio of games. We're very happy with our response from operators at the G2E this year and felt that it was a great indicator to remain confident about our pipeline in '26 for game sales and for -- sorry, for gaming operations. Your final question on online, you're correct. We launched 74 games. We made 92 games. We have had challenges in getting games into the market as it's more complex release process. I think it's fair to say that we're not targeting a 250, 300 game release. We are more interested in the quality of games. And if you look at our share, which has doubled from March this year to September or effectively doubled and that has really been driven by fewer games but higher quality. And we believe that high-quality land-based content will resonate and be more attractive to our operators and will actually be more attractive to the players. So our objective is to release high-quality land content into that market. And I think the proof is in the pudding in what we've been able to do with Product Madness over the last decade as we've taken land-based content and now the #1 social slot share in the social casino market. So I believe that it's -- it's under our expectations to publish 74. We did say 90. We have made more than that number, and we'll look to be able to publish that noting we did go into Delaware and Connecticut after the end of the financial period. So we still have 2 more states to enter in North America as well.
Operator: Our next question comes from David Fabris from Macquarie.
David Fabris: If we stick with Interactive, can we just confirm that the technology integration is fully completed there, and there's nothing holding you back in that business. And then as part of that question, I appreciate you spoke about the quantum of game launches just now. But maybe can we talk about when some of the higher-performing games are coming out, Maybe some Scott Olive's games? Because I would assume that would support a significant step-up in market share?
Trevor Croker: Yes, sure. Thanks, David. Yes, when you're involved in technology, you're always investing to upgrade your technology, and we referenced the point that we continue to invest in product and technology, and that investment is across the organization and getting the streamlining of our ability to make games and distribute it across multiple channels. The fact that we're continuing to increase invest in technology will continue. When you think about each iLottery contract that we achieve is a new opportunity to invest and to drive strong long-term returns for the group. So we will continue to invest in technology, and that will benefit across the group, but it also does create the opportunity, particularly in the iLottery -- sorry, in the Interactive business to support our longer-term growth aspirations. So we're not fully completed. And I think every time we see a new opportunity, we will take the opportunity to invest for growth as we have with adjacencies in our gaming business. and the way that we've added adjacencies to continue to drive growth from our organic investment in the organization. On the games release basis, we will be bringing Lightning Link to the market in FY '26. It is currently planned to be coming out in the calendar year of 2026. So it will be up middle of next year. That will be our first, if you like, iconic land-based game -- not first, but it's our biggest iconic land-based game to come to that market. There are a pipeline of games that come in behind that as well, and we'll continue to build those out. And that's where -- back to my earlier point, it's about the quality of games that will be released in Interactive as opposed to the quantity of games that will be released. And we also feel that that's a good way to work with our partners, particularly the land-based operators with the digital footprint to be able to offer games from their land floor, the retail floor into the online environment as well.
David Fabris: Yes. I guess my question is, why is there a 6-month delay in launching Lightning Link? Why can't you go today? Why do you have to wait to mid-2026?
Trevor Croker: The games -- just the same as when you make a game for Queensland and you take it to New South Wales. It's under different regulations, different structure. The game has to be made. Therefore, that's part of the investment in technology is to streamline that over time. And the games have a different game, different play. It's not the same memory structure. It's not the same size game. You have to take out graphics, you have to take out various aspects to it to make it applicable and playable on a mobile device. So it is a reconfiguration of a game, and it's the same that would happen with anyone that's moving games from social iGaming or from iGaming -- from gaming to get to an iGaming environment. So that's over the last couple of years is to streamline that with GDKs and tools for our teams at a more efficient way.
David Fabris: Got it. Understood. And can I just ask a question about how the business is utilizing AI, I guess, in particular, within D&D I'm wondering that if you're getting some efficiencies and gains in there, whether the growth of D&D may slow in outer years or whether we should be extrapolating that mid-single-digit growth rate beyond FY '26.
Trevor Croker: Look, we've tried to help guide to the mid-single-digit growth rate because if you look at that, that's actually a more applicable way to think about the way that we've invested behind D&D across the group now. We've structured the organization where product and technology is a group solution and that we make these solutions across the organization and then we plan to commercialize it in various structures. We've also now put in place the portfolio planning to do that as well. As far as AI goes, we're working on it in a number of areas. We mentioned where we are in Product Madness with art and art generation also with live ops. In the digital -- in the technology piece, it's around quality. It's also around how do we test our quality on a real-time basis to reduce quality and time to make games and also around porting of games so how we move games from market to market. So we are using these tools. They're proprietary within our organization, and we continue to focus on that. And we see it as a way to continue to evolve our game porting and game efficiency. It will not take away from the creativity of games. It will not take away from how we make a game, but it will help us to be more efficient in the way that we move games across our portfolio.
Operator: [Operator Instructions] Our next question comes from Andre Fromyhr from UBS.
Andre Fromyhr: Just, I guess, coming back to the couple of questions we've had on gaming ops and the outlook. More specifically, I was interested in the role that MONOPOLY will play in that over the next 12 months. So you launched at G2E, but if I understand correctly, you can't be putting that on floors until the new calendar year. So what's been the reception so far? Are you getting indications from operators that already have MONOPOLY licensed content on their floors about swapping over to the Aristocrat product? t?
Trevor Croker: Yes. Thanks, Andre. So we released it for showing it at G2E. So that was the MONOPOLY Big Board Bucks, which is our first game in the Class III MONOPOLY portfolio. We actually can't start placing that until the new calendar year under the contract with Hasbro. So we are continuing to build momentum around the brand. We had excellent feedback from G2E from customers who came back many times to look at the product and share it with their teams. There's also a Class II version, which will come out shortly after that. And then there'll be other games that will roll out in FY '26 as well. So we are in the transition period at this point in time. The contract with the current licensee expires at the end of this calendar year. And then from next calendar year, we can continue -- we can start placing it. So our feedback at this point in time from operators is that they are excited by the product. They thought it was a very innovative way to bring contemporary maps to a really relevant gaming floor theme, and they thought that the way it was integrated was a great experience. So we're very happy with the way MONOPOLY has been shown at the show and excited by what it will do in 2026.
Andre Fromyhr: Could you give us any sense of scale of the role that MONOPOLY would play in your net installs for next year?
Trevor Croker: Not at this stage. We know what the installed base roughly is out there at the moment, which I won't say because it's not our installed base, but we see it as an opportunity to replace that installed base over the '26 period and also to be incremental to our existing installed base given that we don't have a card-based -- sorry, a games-based theme in our portfolio of gaming operations. So we have many other themes. We don't have a games-based theme, and this is one that existed in the gaming market for a number of years.
Operator: Our next question comes from Liam Robertson from Jarden.
Liam Robertson: Just first thing on me on gaming ops. I'm just keen to understand how you look to balance fee per day growth with net install growth. I'm just conscious, obviously, it was a tale of 2 halves for fee per day, and then it was essentially the opposite for net installs with a softer second half.
Trevor Croker: Yes. Thanks, Liam. Look, I think the way you got to look at this is that there's an element of GGR, which influences fee per day because around 2/3 of the portfolio is on a participation model. So GGR will have some impact on that for the whole industry from that perspective. The way that we improve fee per day is through mix. So better MSPs, higher-performing games, different mix within the portfolio. And so that's an important way of doing it. And the other part is taking control of our commercial terms, which we did in the second half. So I feel that our fee per day improvement is good. As I said, it was supported by a couple of those metrics, and we are taking proactive steps in rebuilding the portfolio, particularly around the MSP and also enhancing the execution of our gaming ops as well.
Liam Robertson: Maybe just in terms of, I guess, taking control of your commercial terms, any impact there in terms of the softer second half net installs?
Trevor Croker: No, nothing at all. Nothing at all. We were still able to place -- still able to work with our customers and increase our installed base, particularly in new openings. It didn't impact that at all.
Liam Robertson: Okay. Great. And then just maybe secondly on capital management. Obviously, net debt to EBITDA only 0.2x 80% through the buyback. To me, it looks like you've got close to $4 billion of headroom to the midpoint of your gearing range on an FY '26 basis. I mean I'm conscious of your comment of not getting back there without material M&A. But is there any reason we shouldn't be thinking about further buybacks alongside M&A moving forward?
Trevor Croker: Yes. I think -- thanks for the question. Our capital allocation strategy has actually got buybacks and well embedded in there now. We've been doing buybacks for a couple of years. And we've been clear that that's part of our ongoing strategy. So you can absolutely expect us to continue to do buybacks. And we obviously announced a new program back in February. We're 77% of the way through executing on that. So yes, it's absolutely part of our ongoing strategy to help manage our balance sheet and obviously return to shareholders. I mean, this year, we returned a total $1.4 billion across buybacks and dividends, and it's certainly our intent to keep that momentum going forward.
Operator: Our next question comes from Kai Erman from Jefferies.
Kai Erman: Obviously, you had a pretty decent earnings due to the second half this year. And Trevor, I think you made a comment earlier you expect that into '26 as well. I'd just be keen to kind of see where you're seeing that divisionally and what the specific drivers of that are?
Trevor Croker: Yes. Thanks, Kai. I mean if you look at our historical profile, we've generally been weighted to the second half as a rule. So it's not an unusual profile for us to be normally weighted to the second half. Largely, that comes off the back of games in gaming operations going into the installed base post G2E and obviously, game releases in the first quarter, second quarter of the year. So it's not unusual for us to be skewed to the second half. Some of those second half opportunities will also be because of the Interactive business as we see 2 lotteries coming online in July being Michigan and Massachusetts. So there will be some momentum from that perspective. But it's not an unusual profile to us to be phased in the second half of the year on the way that games are released. Post G2E -- games are placed post G2E and then momentum with the seasonality of the industry as well.
Kai Erman: All right. And then just a follow-up. I guess in North American outright sales looked quite strong when you consider the adjacency mix. Taking out the adjacencies, what are you sort of seeing the pricing trends there? Do you sort of expect a sustainable pricing increase throughout FY '26 as well?
Trevor Croker: I wouldn't say sustainable pricing increase. But first of all, I appreciate the fact that you recognize that the negative draw on adjacencies from an ASP point of view. I would put that down to hardware being the new Baron Portrait cabinet and also high-performing games like Spooky Link where high-performing games support a premium price and the new hardware has been very well received. It's not a case of pricing up because we can. It's about a value solution for our customers and high-performing games on new hardware, which is working is a great return for our customers.
Operator: Our next question comes from the line of Rohan Sundram from MST Financial.
Rohan Sundram: I'll ask just one Trevor or Craig, actually, on the land-based side of things, how would you rate your forward visibility at this point in time? And just how would you describe the overall state of slots CapEx at the moment from customers?
Trevor Croker: Yes. Thanks, Rohan. Look, I think we're very happy with the visibility of the market at this point in time. Performance of our portfolio is strong. Hardware configurations are very good and the ability to see both new openings and expansions, which we anticipate is going to be around about the same size as '25 and '26. We've got line of sight to those, and we feel very competitive around our ability to take a good share of those new openings and expansions. So a visibility point of view, I think where we were at the half, there was still a lot of volatility in the market, uncertainty around tax changes, regime -- the regime tax changes and other changes in the market, and that has settled down now. And I think operators have been willing to invest in game placement, and we were able to take advantage of that through the second half. So I feel confident about our visibility. I feel confident about our momentum into this year. And October, as I said, I feel good from what I'm seeing in October that '26 is in good shape.
Operator: Our next question comes from Sam Bradshaw from Evans & Partners.
Sam Bradshaw: Just wondering how you're seeing current M&A opportunities and which segments you'd be most interested in?
Trevor Croker: Yes. Thanks, Sam. Appreciate the conversation. A couple of points here. We're still working on integrating NeoGames. We've done a lot of work there, and we reorganized the product and tech side of things as we spoke about a number of times now. And Neo is very much part of the Aristocrat Group, and we're continuing to leverage that opportunity. I would point to a couple of small tuck-ins that we've done, which to me are about building the investments for the future. One of those was [ MGS Big Boss ] which is really around creating connectivity, real-time connectivity between gaming machines and the operators to allow direct marketing, et cetera. And the second one was Awager, which is a streaming business -- very small streaming business that is starting to emerge in the North American and Canadian markets. We closed that on the 5th of November. So there are just a couple of small bolt-ons that continue to enhance our strategy. As you know, we use M&A to accelerate our growth, not to replace organic growth and share taking. As far as the future goes, we feel pretty well placed with our gaming portfolio of assets at this point in time and see that we can continue to take share rather than buy share through acquisition in the gaming space. Social casino and online, as you know, we've streamlined our portfolio. Our portfolio of social casino assets continue to be strong with NFL being the latest new app, but continuing to leverage the Evergreen is critical there. And then we would look at areas in Interactive space as well that would be attractive, but would have to accelerate our Interactive position. So we continue to participate in the markets and monitor those things that are strategically aligned to our objectives and remain disciplined around what is appropriate for our company. And as we said, we're building -- we have built the capability to do this, and we've built the financial structures to support it as well.
Sam Bradshaw: Great. If I've got time to squeeze in a follow-up. Can I just ask whether you plan on entering charitable gaming, either organically or via M&A?
Trevor Croker: We look at all of those things, Sam, to be honest with you. We continue to look at all markets and where we're focusing at the moment is on what we've got in front of us and leveraging the scale of the organization, but we look at all markets.
Operator: I'm showing no further questions. Thank you all very much for your questions. I'll now turn the conference back to Trevor for his closing comments.
Trevor Croker: Thanks, operator. Aristocrat continues to deliver strong performance in line with our strategy of maintaining a diversified gaming portfolio that capitalizes on our market-leading content and capabilities. Our ongoing commitment to invest in talent, technology innovation underpins our confidence in capturing the many opportunities that lie ahead. And again, this year, we've taken market share in every market in which we participated, feeling confident going into '26 as well. Should you have any further questions or queries, please feel free to contact our Investor Relations team. I'll now bring the formal proceedings to a close. And on behalf of the entire Aristocrat team, thank you for your continued interest and support, and we wish you all a pleasant day. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect your lines.